Operator: Good afternoon. My name is Katie and I will be your conference operator today. At this time, I would like to welcome everyone to the Fiscal First Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. I would now like to turn the call over to our host, Mr. John Cummings. Sir, you may begin your conference.
John Cummings - Director-Investor Relations: Thanks so much, Katie. Good afternoon, everyone, and thanks for joining us for our fiscal first quarter 2016 results conference call. As always, our first quarter results press release, SEC filings, and a replay of today's call can be found on our IR website at www.salesforce.com/investor. We'll also post the highlights of today's call on Twitter at the handle @salesforce_ir. With me on our call today are Marc Benioff, Chief Executive Officer; Keith Block, President and Vice Chairman; and Mark Hawkins, Chief Financial Officer. Marc, Keith, and Mark will share a few prepared remarks, and then we'll open the call to questions. As a reminder, our commentary today will primarily be in non-GAAP terms. Reconciliations between our GAAP and non-GAAP results and guidance can be found in our earnings press release. During today's call, we may offer additional metrics to provide further insights into our business or results, and this detail may or may not be provided in the future. We may also reference certain unreleased services or features not yet available. We cannot guarantee the timing or availability of these services or features, so recommend customers listening today make purchase decisions based on services and features currently available. Please keep in mind that some of our comments today may contain forward-looking statements, which are subject to risks and uncertainties and assumptions. Should any of these materialize or should our assumptions prove to be incorrect, actual company results could differ materially from these forward-looking statements. A description of our risks and uncertainties and assumptions and other factors that could affect our financial results are included in our SEC filings, included in our most recent report on Form 10-K, under the heading Risk Factors. Now let me turn the call to Marc.
Marc Russell Benioff - Chairman & Chief Executive Officer: Okay, thanks, John, and thanks everyone for joining us on the call today. You can just see why I'm so excited because I'm thrilled to report that we had just an outstanding start to our fiscal 2016 and just a great building on the phenomenal momentum from last year. In this quarter, we surpassed the $6 billion annual revenue run rate, and we did that faster than any enterprise software company in history, and we could not be more excited. Our current outlook puts us on track to reach a $7 billion revenue run rate later this year, on the way to being the fastest to reach $10 billion, which is our dream, and something that we are very focused on. I'd like to share the results from the quarter, and revenue for the first quarter rose 23% from a year ago to more than $1.5 billion and constant currency revenue grew even faster at 27%. I mean, you can look at all the other top 10 software companies, no one is delivering this kind of performance. And, as I said, we deliver this amazing growth as we push through the $6 billion annual revenue run rate milestone. Deferred revenue grew more than $3 billion, up 31% year-over-year and 36% in constant currency. And the dollar value of book business on and off balance sheet is now $9.1 billion, $9.1 billion. That's an increase of nearly $2 billion since last year. That is a very clear indicator of the strength of our future business. Even as we delivered this outstanding pace of top line growth, we also improved non-GAAP operating margin by nearly 200 basis points this quarter over last year. And as you can see, we're not just focused on growing the top line, we're also growing the bottom line. All of this translated into another outstanding quarter in operating cash. We delivered more than $730 million in operating cash flow which is up 54% year-over-year, and that's just an astonishing number. Given our outstanding first quarter results, I'm thrilled to announce that we are raising our guidance for both our top and bottom line for fiscal year 2016. The high-end of our revenue guidance puts us on track to finish the year at $6.55 billion, and we're increasing our non-GAAP EPS guidance by $0.02 to $0.71 at the high-end of our range. As you can see, our strong revenue, deferred revenue, operating cash performance, along with the incredible momentum of our Customer Success Platform puts us on a trajectory to be the fastest enterprise software company to deliver $10 billion in revenue. We're achieving this level of performance and growing faster than the competition because we have a unique platform, really a unique company designed for today's connected world, designed for only one purpose: helping our customers connect with their customers in a whole new way, and ultimately creating customer success. Today, this call is taking place right here from the great city of Chicago. When I've been meeting with some of our great customers today like State Farm and Northern Trust; I've met with hundreds of customer from around the world in recent weeks; I've been on a tour; and next month I'm going to be taking that tour to Europe and spending the summer once again learning from our customers in the region and hearing about all the great things going on over there, and you can just see our European business is just awesome. And every CEO I've met with is feeling the impact of this technology moving faster and faster. Customers and employees are expecting deeper levels of engagement, they're creating these amazing one-on-one journeys, they're more automated, intelligent business processing, everything is going mobile, everything's available on their phone and soon right on our wrist. Well, they're relying on Salesforce, with our metadata-driven technology platform, our six core clouds and incredible, incredible employees, our customer success services team and ecosystem of software developers, systems integrators, service providers, all of them, the whole ecosystem, helping our customers move faster and transform their businesses to be more successful than ever before. That's why Gartner has ranked Salesforce as the worldwide market share leader in the CRM market for 2014, continuing more than a decade of growth and market share gains, while Oracle and SAP continue to fall behind. Well, we can certainly see that from their quarters, can't we? You can see the tremendous growth we've had across our six clouds and how we're outpacing the competition and taking market share at the expense of our competitors. Sales Cloud continues to be the market share leader in SFA by far, and on its own one of the top pure play enterprise cloud companies by revenue in the world. Service Cloud displaced SAP in the quarter and is now the market share leader in customer service and support. Sorry about that, SAP. And the Marketing Cloud, which was born out of our acquisition of ExactTarget two years ago, is now the fastest-growing top five marketing vendor according to the latest Gartner report, taking market share while every other top five vendor is losing. Community Cloud continues to grow its market share and we now have some of our largest partner communities in the world, dozens with more than 100,000 members. Our Wave Analytics Cloud has become a real game changer for us. I've never seen more excitement about this product. I've been demoing it everywhere I go. It's not just an analytics app, it's a platform with a whole ecosystem of partners and development environment that lets you basically build any kind of analytics app our most customers want. You saw us deepen our relationship with Microsoft this quarter with the launch of Wave Connector for Excel which transforms Excel spreadsheets into visual, dynamic graphs in the Analytics Cloud with just a click and we had a phenomenal demonstration of exciting new technology that we're building with Microsoft at their Build Conference, and we also saw more revelation of that at Ignite. And we also launched Analytics Cloud for the Apple Watch, the first enterprise app for Apple's amazing new wearable, and we're really thrilled that Apple featured Analytics Cloud as one of the marquee apps in their launch. The Salesforce1 platform, the foundation for everything we develop, has been ranked by Gartner as the leading enterprise Platform-as-a-Service for the second year in a row. We've seen tremendous momentum in the quarter with customers, with partners, with ISVs, now more than 2 million developers building apps on top of our platform, and that's reflected in our customer adoption and usage rates. They are just soaring. We delivered 211 billion transactions for our customers in the quarter, 211 billion, up 79% from a year ago. That is astonishing. That's an average of more than 3.4 billion transactions every single business day, unprecedented in the technology industry. Before I close, I want to mention the great work of Salesforce Foundation. Foundation now supporting 25,000 non-profits and NGOs and we've distributed more than $85 million in grants, and our employees have volunteered almost 1 million hours of community service, an increase of 300,000 hours since Q1 of last year; just amazing. Now I'll hand it off to Keith, who's in London, where he'll be keynoting our London World Tour event tomorrow. And this is the largest cloud computing event in the region, with more than 13,000 people registered to attend. Now, the World Tour that we're all on will follow a record – that we've had record attendance stops already in Melbourne and Amsterdam, here in Boston, in Chicago, and Toronto. You're also welcome to join us for upcoming Salesforce World Tour stops. The next one's going to be Washington, D.C. next week, which will be incredible. And then we head to New York for Salesforce Connections, the largest digital marketing event in the world. And our New York World Tour which will be June 16, June 17, and June 18. You're not going to want to miss that. More than 15,000 people will join us. And I'll be keynoting the World Tour event in Paris on June 25 and in Munich on July 2. If you haven't seen what's been going on in Europe, it's worth seeing, just an amazing level of momentum with the cloud. And mark your calendars for the largest enterprise technology conference on the planet, Dreamforce, you may have heard of it. That's going to be happening September 15 to September 18 in San Francisco. That is an event I'm quite sure you will not want to miss. Okay, Keith?
Keith G. Block - Vice Chairman & President: Thanks, Marc. Greetings, everybody. It's great to be here in London, as Marc said, I love London, I love Europe. We all love Europe. And the reason why I'm here is because the business, as Marc suggested, is absolutely accelerating. This is now our fastest-growing region, where we've now exceeded $1 billion in revenue over the past year, so congratulations to the entire team for really an incredible achievement. Suffice it to say that's proof positive that the investments that we've been talking about and making internationally are absolutely paying off. As Marc said, tomorrow I'm hosting our London Salesforce World Tour. We will have a record turnout expected. I've got a number of special guests joining me on stage, including executives from Barclays and British Airways, BSkyB will be with us, John Lewis, Vodafone, and many others. We're also going to have an organization called CoderDojo, which is really a very incredible non-profit here in the U.K. which teaches young kids how to code and adopt technology, so this is going to be a great event, really a world-class event. And as you heard from Marc, we had a world-class first quarter. We are firing on all cylinders. You can see that in the results, and this is a great way for us to start our fiscal year. It really does set a terrific tone for the rest of the year and we're very excited about it. So we continue to broaden and deepen our relationships with our customers of all sizes, all industries, and all geographies. And what's interesting is they're transforming their business models. And they're doing this by leveraging our Customer Success Platform. And this is leading to larger deals in all segments and deeper, more meaningful strategic relationships. In fact, we hit an all-time high in seven-figure-plus transactions of any first quarter in the history of the company. We saw some incredible wins in the quarter. I'm particularly proud of the fact that 30% of our top deals were net new customers. And I'd like to share a few of these stories. The first one is a company called Bouygues Telecom. It's one of the largest telecommunications companies in France. It's a great new relationship that closed in the quarter. And they selected our Customer Success Platform to create an omni-channel digital experience for their 13 million customers across all their call centers, stores, and online; very exciting. We also signed a major new deal with a transportation company, really one of the world's greatest brands in their category. They were using on-premise legacy technology from Oracle. And in the quarter, they decided to go all-in with the cloud, and they plan to put Salesforce1 onto mobile devices and into the hands of more than 10,000 field employees around the world. It was really just an incredible win. And I couldn't be prouder of the team for bringing in this new strategic relationship. Also one of the largest deals in the quarter was a net new relationship with a Fortune 500 leader in retail. They were looking to consolidate all their tools and campaigns and selected our Marketing Cloud as their company-wide digital marketing platform. As Marc mentioned, the Marketing Cloud is absolutely on fire. It is the tip of the spear for us with B2C companies, and it really is in almost every conversation that we're having with senior executives around the world. It's really terrific. We're also seeing some significant expansions with our existing customers, Tyco, which is a brand that I'm sure many people recognize. It's a great example. They're a $10 billion leader in protection and security. They've been using Sales Cloud for years and they expanded their relationship with us in the quarter with Service Cloud and Community Cloud and Analytics Cloud and the Salesforce1 platform. So their vision is to really bring all their teams together and transform their organization, and build a global Customer Success Platform across sales and service in marketing. Barclays, another great win. They started with Sales Cloud, Service Cloud, and Communities. And now with the addition of Analytics Cloud in the quarter, Barclays will be putting real-time customer intelligence into the hands of their corporate bankers so they can make faster and smarter decisions right from their mobile devices. It's a great example of impact from the Analytics Cloud. And in my keynote tomorrow, Barclays is going to demonstrate how they use Salesforce to transform their broker journey and build the most qualified digital workforce in financial services. And speaking of financial services, we expanded our relationship with JPMorgan Investment Management. This is a customer that has been using us in a few of their divisions. And now they will be significantly increasing their deployment of Service Cloud as their CRM platform across their growing mutual fund divisions. So JPMorgan is yet another great example of how financial services companies are moving to the cloud. Other new wins or expansions in Q1 include the Bank of America, Dentsu, Expedia, Hitachi, Japan Post, John Deere, Medtronic, TELUS, T-Mobile, U.S. Citizenship and Immigration Services, Western Union, and Zurich Insurance. So this is really, as you can see, a pretty incredible list of brands, and it shows the continued traction we're getting in our industry strategy. You're also going to see our industry strategy come into greater focus this summer when we introduce our first industry solution in wealth management. Now I will tell you we've been able to achieve this level of customer success and growth because we are, without a doubt, the trusted enterprise cloud. And with this incredible culture of relentless innovation, a 16 year track record of customer success, no other technology provider is in a position to say this; we are all about customer success. And conversely, if you were paying attention to SAP's event a few weeks ago, the CIO of the world's largest retailer, which is an SAP customer, she said she hopes to see an SAP implementation in her lifetime. And I think that spells it out. That is the difference between on-premise and the cloud. It doesn't sound like customer success to me. And we are all about customer success. So we're seeing a growing trend of SAP and Oracle customers who are coming to us and talking with us and working with us to wrap around their legacy solutions. They want us to be the agility layer to these legacy technologies. They want us to be able to unlock more value from their investments. And ultimately it puts us on a path to a complete replacement in their front office. In fact, I will tell you, a few days ago I had a meeting with the COO of one of the world's largest banks, and they were incredibly excited about a strategy to ultimately replace all their legacy customer-facing systems with our Customer Success Platform. So that's very exciting for us. So before I close, I want to talk about our ecosystem. Marc touched on it a minute ago. It continues to thrive. We're the largest enterprise cloud ecosystem in the world. We hit a huge milestone this quarter with over 3 million total installs from our AppExchange. We continue to develop more strategic ISV relationships on both the horizontal and vertical basis. And as I travel around the world and speak to customers and partners, it's pretty clear that the relationship with our global and regional SIs, it's just never been stronger. So with that, I want to thank the entire team at Salesforce and congratulate them for delivering just a terrific and strong Q1 and a great start to the year. So, over to you, Mark.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Thanks, Keith. As you've heard, we had a strong start to the year with solid growth across the board. And from a top line perspective, we delivered Q1 constant currency revenue growth of 27% year-over-year. Foreign exchange continued to impact revenue with year-over-year headwinds of approximately $52 million and a sequential headwind of around $17 million. Our geographies also delivered strong growth on a constant currency basis with the Americas growth of 27%, EMEA growth of 28%, and Asia Pac of 27%. Dollar attrition for the first quarter excluding Marketing Cloud was approximately 9%. Now while we continued to deliver industry-leading top line growth, we're thrilled to have expanded our Q1 non-GAAP operating margins by 197 basis points year-over-year. And by the way, this is the fourth consecutive quarter of year-over-year improvement. Our top line outperformance along with the improved expense controls allowed us to deliver non-GAAP EPS of $0.16, up 45% over last year, and $0.02 higher than our guidance. Additionally, we made great progress toward GAAP profitability in the quarter including reducing our stock-based compensation to below 10% of revenue. Now turning to cash flow, we delivered record operating cash flow in the quarter of $731 million. Now that's up 54% over last year. And as we previously discussed, we anticipate that Q1 will continue to be the largest cash flow quarter. Now, this is due to our seasonally strong Q4, and the compounding nature of our new and renewal business in the fourth quarter and the associated collections of our Q4 invoices in the first quarter. Now, free cash flow defined as operating cash flow less CapEx was $660 million, and that was up 60% over Q1 of last year. Looking at deferred revenue, we delivered another strong quarter with growth of 31% year-over-year, excluding an FX headwind of $69 million. Deferred revenue grew 36% over last year. On a sequential basis, deferred revenue benefited from an FX tailwind of approximately $18 million. As a reminder, we calculate our FX on revenue using the average rates throughout the quarter; however, for deferred revenue, a balance sheet item, we use the spot rate on the last day of the quarter. Keep in mind, we conduct business in multiple currencies, including the euro, the yen, the British pound, the Australian dollar, and others. While the dollar exchange rates for most of these currencies were roughly flat at the end of the quarter, a stronger pound drove a slight sequential tailwind to the deferred revenue in Q1. In the quarter, 75% of the value of all subscription and support-related invoices were issued with annual terms. Now let's move on to guidance. With our strong first quarter results, we are raising our outlook for the full year. We now anticipate revenue to be $6.52 billion to $6.55 billion for 22% growth at the high-end. Now this guidance includes an anticipated FX headwind of about $175 million to $200 million. In addition to raising our top line guidance, we're also pleased to be raising our bottom line as well. We expect full year non-GAAP EPS of $0.69 to $0.71. We continue to expect year-over-year non-GAAP operating margin improvement of 125 basis points to 150 basis points this year. With our strong Q1 operating cash flow, we now anticipate full year operating cash flow growth of 24% to 25%. For Q2, we anticipate revenue of $1.59 billion to $1.60 billion, non-GAAP EPS of $0.17 to $0.18, and deferred revenue growth in the mid- to high-20% range. Our guidance implies that OI&E will continue to be a net expense and we assume a non-GAAP tax rate of 36.5% and that we will not make significant acquisitions. To close, we are very pleased with our fast start to fiscal 2016. We delivered outstanding results across the board, our top and our bottom line outperformance drove record cash flow and our backlog of book business positions us extremely well for continued growth while we continue to deliver our non-GAAP operating margin expansion commitment. On that, I'd like to open up the call for questions, operator.
Operator: We'll pause for just a moment to compile the Q&A roster. And your first question comes from Kash Rangan [Merrill Lynch, Pierce, Fenner & Smith, Inc.].
Kasthuri G. Rangan - Merrill Lynch, Pierce, Fenner & Smith, Inc.: Wow, you're the champions, congratulations. Marc, question for you on the Analytics product. What kind of attach rate do you envision for the company, or what kind of attach rate would you be pleased with for the Analytics product as it relates to the deployment of Sales Cloud and perhaps even the Service Cloud in rough timeframe? And secondly for you, CFO, Mark Hawkins, any impact from invoicing duration, early renewals of deals in the quarter that might have helped you one way or the other? That's it for me. Thank you.
Marc Russell Benioff - Chairman & Chief Executive Officer: Well, thanks, Kash. And I'll tell you, on the Analytics Cloud, I've never been more excited about a product. I don't think there's a customer that I've spoken to this quarter who hasn't been interested in the Analytics Cloud, and I can't imagine a Salesforce customer that's not going to end up with the Analytics Cloud. This is just a breakthrough product. There's never been an Analytics product that's been built from the ground-up as a multi-tenant cloud service built on a metadata platform that gives you the ability to build apps and deploy them rapidly and I think you're going to see some amazing things with the Analytics Cloud when we get to Dreamforce as well. We've had some huge technical breakthroughs in our ability to build an ecosystem around the Analytics Cloud and we plan to show those off. We've only been in this business about 90 days. I don't know why we didn't get this in a lot earlier. Keith, what's been your experience with the Analytics Cloud this quarter?
Keith G. Block - Vice Chairman & President: Yeah, Marc, I'll tell you, we've had some great wins in the quarter, Barclays, that I mentioned earlier, they were an Analytics Cloud user. Tyco is now an Analytics Cloud user. I will tell you, my entire distribution organization walks around with Analytics Cloud on their mobile phone. They use it every day to run their business, and learn more insights about their customers. If you talk to Mark Hawkins, he will tell you that this finance organization at Salesforce, they are all using Analytics Cloud, our Employee Success organization is all using Analytics Cloud. So this is a very compelling new product. Marc is absolutely correct. Within two weeks of announcing this at Dreamforce, we were closing deals in very large enterprises. So the market reaction has been very good. People are very excited about it. And there's no reason why this should not be in virtually all of our entire installed base.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Great. And so, let me take the second question here. And first before I do, Keith, I totally agree, we use the Analytics Cloud constantly to run our business and it's exciting within Salesforce. In terms of the billing frequency early renewals question, Kash, I think nothing dramatic to share. We made continued improvement and the percent of annualized billings pretty in sync with the rate of improvement that we've made. Before it's been a modest improvement and as we called out we had 75% of our total billings were annual compared to, I think, 69% last year, very in sync with the kind of pace of improvement that we've been making and really nothing extraordinary to report on that side. We're just very pleased with the total deferred revenue and the revenue together, so.
Operator: And your next question comes from Jason Maynard from Wells Fargo.
Jason A. Maynard - Wells Fargo Securities LLC: Hey, good afternoon, guys, and congratulations to a strong start to the year. There's obviously been a lot of talk in the press about the future of the company over the last few weeks. And I know you can't comment on that, but I think the big question, and probably one that customers are asking themselves is: what do you guys think about the prospects for your own business? I know you have a goal of $10 billion in revenue, but there's an old saying, maybe you trade a player a year early versus trading him a year late. And I wonder if customers and investors and all of your stakeholders are saying, what does Marc see after $10 billion? Do you see a runway to being a multi-teens billion, $20 billion company? Is that something that you have the line of sight on and have the confidence in your TAM, your products, and your management execution to reach?
Marc Russell Benioff - Chairman & Chief Executive Officer: Well, I really appreciate that question, Jason, thanks so much. And when I started this company 16 years ago, we wanted to do three things. We wanted to create a new technology model now known as the cloud. We wanted to create a new business model, which is singularly focused on the success of our customers and helping our customers to create new ways to connect with their customers and help them to innovate and transform their organizations. And, three, we created a new philanthropic model with 1% of our equity and 1% of our profit and 1% of all of our employees' time and, of course, that was very easy because we had no equity, we had no profit, we had no time, but I would say at this point, I mean, Salesforce has far exceeded our expectations over the last 16 years. But people are always overestimating what they can do in a year and underestimating what they can do in a decade in our business, and when I look out what I see is we are absolutely committed to being the fastest software company ever to $10 billion. And I'm sure, Jason, if you look at your model now with over $9 billion in deferred on and off the balance sheet, you can start to model exactly how fast that's going to be. I mean, it's record time. And we're going to squarely be very, very shortly the fourth largest software company in the world. Now, when that happens, we are really targeting one company to surpass, which is SAP. Fortunately for us, their kind of lackluster growth, execution and lack of innovation in their core products as we saw in their conference this quarter, well, you know what? They're an easy target, and that's our next goal. But we've got our minds squarely on the prize which is the $10 billion revenue run rate, and that's step one. Step two is go past SAP, and I think we can absolutely do that. I'm personally committed to making that happen. That's my dream. And I am super-motivated every single day to get up and run a company that is doing well, by doing good. We're not just a software company, Jason, that's building products and selling them every day like the rest of the guys. We are a software company that is working hard to make the world a better place, not just through our innovation, but through our philanthropy and through our commitment to equality for all, and also to inspire other entrepreneurs and other companies to do the same. I'm sure your experience is the same as mine, when I meet all these new companies, they've all got philanthropy built into their model and they've all got fired up entrepreneurs who are going to add value to their community, not just build products. And I hope that in some small way we've inspired the industry to kind of get off its kind of traditional stinginess and to get out there and do something for other people. And that's what I'm excited about, and those are my goals going forward. Does that help clarify that?
Operator: And your next question comes from Ross MacMillan with RBC Capital Markets.
Ross MacMillan - RBC Capital Markets LLC: Thanks a lot, and my congratulations, as well. I actually had one for Mark. Mark, you just delivered close to 200 basis points of margin expansion in what I think was the toughest foreign exchange headwind quarter this year. And that number's above your full year guidance, so I was just curious as to how we should think about the pace of underlying operating expense growth as we progress through the year? And does the guidance imply that you're going to accelerate the rate of investment as we look forward? Thanks.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Ross, first of all, thanks a lot for the note. And yeah, definitely we feel great about the quarter. I think, and one of the things I would say on the – certainly, the operating margin expansion fourth quarter in a row, we feel really great about the fact that for the full year we guide this 125 basis points to 150 basis points on an even bigger revenue base, right? Because we raised the revenue base and we're showing even more EPS. But I think from an operating margin viewpoint, one of the things that you should think about is that this squares very nicely with our revenue operating margin framework in terms of the rate of growth and the rate of operating margin expansion. So this fits very nicely. But what we're doing also, Ross, as you touch on, is we're making sure to make the investments that are essential to making sure that we grow not only this year but in 2017 and well beyond to fulfill the vision that Marc had articulated earlier on the call. So we feel good about this. It's squarely within the framework. We're delivering on our commitment even on a higher base.
Operator: And your next question comes from Brent Thill with UBS.
Brent J. Thill - UBS Securities LLC: Good afternoon. Keith had mentioned an all-time high for seven figure deals in Q1 and I'm just curious, Mark and Keith, are there any common patterns you're seeing out of these deals when you look across like taking multiple clouds, larger seat counts, all of the above? It'd just be great to get a little bit of color in terms of what you saw and what's rolled out in Q1.
Keith G. Block - Vice Chairman & President: Hi, this is Keith. Listen, thanks for the question. It really is to a certain extent all of the above. I mean, we're clearly signing up some net new logos in some of the largest enterprises in the world. Some of that is one cloud, some of that is many clouds, but I think the overwhelming sentiment here is that there's a real interest in a long-term strategic relationship with Salesforce. And it is a trust-based relationship and a value-based relationship. And customers really want to leverage our Customer Success Platform to help their customers succeed. So it's a pretty common theme around the Customer Success Platform and industry orientation. I mean, if I look at the kind of larger deals in the quarter that I just went through here, many of these were in financial services, many of these were in telecommunications, some in public sector. And these are kind of the strike zone industries that we're focusing our attention on. So we are hitting our cylinders, all of our cylinders, in terms of getting the mind share of these large enterprises, really enterprises of all size and scale and all geographies, and we're running our playbook and we're just executing well.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Yeah, I might just add on that to Keith's point. When I think of the patterns exactly what Keith said. But what I really like, Brent, is just this notion about how much our customers are embracing the Customer Success Platform on a multi-cloud basis. Keith and his team knocked out some huge deals that he talked about. You look at like Bouygues, they picked up Service Cloud, Community, Marketing Cloud. You look at JPMorgan, you look at sales, service, marketing. You look at Tyco that Keith talked about. You look at Sales, Service, Community and Wave. I just think it's exciting to see that pattern be so pronounced. So that's the pattern that I see, Brent.
Operator: And your next question comes from Heather Bellini with Goldman Sachs.
Heather A. Bellini - Goldman Sachs & Co.: Great. Thank you so much. I had two questions. I guess, the first one is if we go back to Jason's question for a second about the $10 billion sales target, I was just wondering, Mark, if you could just give us a sense, how do you think about what the profitability level of the company might look like, knowing that there's a lot of different things that could happen? But how do you think about the profitability level that you'll be able to achieve, once you get to that $10 billion target that looks increasingly in sight. And then the other question I had, Mark, was just Service Cloud had a big sequential acceleration this quarter. I'm just wondering, are there some factors you could share with us that are causing this? And where are we in the rip and replace of those massive Siebel call center systems that were put in place in the early 2000s?
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Sure, let me jump into this and we'll see if folks add in here. But, Heather, the $10 billion vision Marc articulated, you can see us driving toward that. You're hearing loud and clear. I think that the profitability will be a function of the speed of how fast we get there. And when we talk about the revenue operating margin framework, very much it's correlated with the rate of the growth rate compared to the operating margin expansion. That's a higher level of framework that remains intact. We continue to execute that. And you can see it even in this period in the guidance for this year. But I do want to call out something, Heather, to try to get more context to the spirit of your question. When I look at the unit economics of what's happening in our business, the lifetime economics, I clearly see a business that's in the mid-30%s in terms of operating margin. And that is really I think what we should think about when we get the business at a mature level of growth in the mid-30%s. That would be the key point. And in terms of the Service Cloud, one of the things that was most pleasing to look at is just the amazing amount of market share we took, that Gartner just took, where we made real progress on the market share, where we ripped over 300 basis points, we displaced basically SAP and are making real progress. But let me just see if there's other commentary on that.
Keith G. Block - Vice Chairman & President: Yeah, let me just weigh in here. So one of the themes that we're hearing as we go around the world and we're talking to CEOs, is that companies are transforming themselves and they're differentiating, Heather, around service. If you talk to GE, if you talk to Philips, they are trying to transform themselves into service companies. And they're leveraging our Customer Success Platform to do that. It's very interesting because it's an opportunity for them to change their business model. They're leveraging our platform and many of them are asking us to wrap an agility layer around their existing legacy systems. Now that could be a homegrown system, but more often than not that's Oracle and SAP. And ultimately, the game plan here is to surround them and eventually replace them. So the overwhelming message from customers is they want to get out of the maintenance game. And they want to get into the innovation and transformation game. And that's what they see in the Customer Success Platform, and that's what's going on in the marketplace.
Operator: And your next question is from Kirk Materne with Evercore ISI.
S. Kirk Materne - Evercore Group LLC: Yeah, thanks very much. Since Keith is staying up late with us in London maybe I'll ask him one about Europe while you're over there. Clearly, that business is accelerating. You guys have put a lot of investment into the region in terms of new data centers. Can you just talk about the adoption trends of customers in Europe? Are you seeing them adopt a cloud at a time? Or are you seeing them jump really straight to the Customer Success Platform? And is there anything you all need to do over there over the next 12 months to really see it continue to accelerate or have you put a lot of the programs in place that we should continue to see you all harvesting some of the investment you made over the last 12 months or so? Thanks.
Keith G. Block - Vice Chairman & President: Yeah, yeah. Thanks for the question. Look, obviously, international expansion is a big part of our strategy and EMEA is a big pivot point for that. And we continue to invest. We've rolled out all these programs around industry orientation, additional resources, Solution Selling, a program that we call Ignite, and leveraging this incredible ecosystem that we have built around our partners with a huge focus on customer success from both our own resources as well as the ecosystem partners. And customers are enjoying a bit of our seed and grow strategy but some of them are talking about the wholesale transformation as kind of a long-term strategy with bite-sized chunks, so we are getting incredible traction. We're very, very proud of the results that we're seeing in EMEA and it's pretty clear that our investment strategies are paying off here.
Operator: And your next question comes from Keith Weiss with Morgan Stanley.
Keith E. Weiss - Morgan Stanley & Co. LLC: Excellent. Thank you guys for taking the question. And again, very nice quarter. Two questions from me. One, there's been a ton of speculation out there in the marketplace around the potential of M&A around salesforce.com. How do you guys – and maybe this is a question for Keith Block, how do you keep your guys focused on the price, focused on execution when there's all that sort of speculation going on externally? And then the second question is just about the industry solutions that are going to be rolling out later this year. Is there anything incremental that you guys need to do in sort of building out the distribution around those industry solutions? Or is that pretty well in place and is it just really putting product into place with what has been a build-out in the vertical distribution capability?
Keith G. Block - Vice Chairman & President: Yeah, okay, so thanks for the question. Look, first and foremost, is we don't comment on these rumors. And our focus has always been and will always continue to be on customer success and that goal of the $10 billion, and as Marc said, in going after SAP and passing them. So our people are motivated. They are very excited. It's part of our culture, a big part of our culture, to focus on customer success and our people feel really, really good about what they're doing and the success that they're enjoying with our customers. With respect to our industry strategy and execution around the product, for the most part, we are already starting to pivot around an industry orientation as we're organized in the field. So our distribution model is gradually moving towards an industry orientation over the last couple years. It's hard to believe that in June it will be my two-year anniversary. But over the last couple years, we've started to pivot toward vertical selling organizations, and that is kind of a natural tip of the spear for these solutions that we'll be bringing out.
Operator: And your next question comes from Steve Ashley with Robert W. Baird.
Steve M. Ashley - Robert W. Baird & Co., Inc. (Broker): Thank you very much. I'd just like to ask about the Community Cloud and the success you're having there, if we could get some more color around. Are there vertical markets where you're having more success, are there use cases, and are you able to find any synergy with your other cloud offerings? Thanks.
Marc Russell Benioff - Chairman & Chief Executive Officer: Well, I think one of the really great things about our Community Cloud is that it's so tightly integrated with our Sales and Service and Marketing Clouds, and that when our customers buy our solution, they're not just buying a silo, but they're buying part of an integrated solution. I think when you look at some of our core deployments of our Community Cloud, companies like Home Depot, and you can see that if you go to community.homedepot.com or many of the other ones, well, you see that we're tightly integrated with their employees, we're tightly integrated with their partners, and it's been a huge boom for them to be able to increase their store traffic, that they get actual results. I mean, I know that because Salesforce uses our Community Cloud every day, but I don't know a customer that's not planning to deploy this product. I mean, this is something that's extremely important for every company whether they're a B2C company or a B2B company in being able to aggregate their customers and unite them with their employees. As you know, we have a very strong integrated system of engagement with our core product, and that system of engagement is tightly integrated with our system of record, and is now with our Analytics Cloud tightly integrated with our system of intelligence, so a system of record tightly integrated with a system of intelligence, tightly integrated with the system of engagement, and that system of engagement is extended into those core customer offerings through our Community Cloud, and that's the right architecture. That's the right product. It's had phenomenal success, super high growth rate and I expect continued great performance from it this year.
Operator: And your next question comes from Sarah Hindlian with Brean Capital.
Sarah Hindlian - Brean Capital LLC: Hi, gentlemen. Thanks for taking my question and congrats on the quarter. I had a couple questions for you. When you're signing customers on Wave, and I realize it's still very early, but do you see this as a product where you're encroaching more on legacy BI vendors or is this an additive to your deployment or a pure greenfield opportunity? And then lastly, I'm just wondering what kind of momentum you're seeing in Marketing Cloud, which is obviously growing nicely at 29%, but not as fast as services and platforms, and so I'm wondering where do you see that trending this year?
Marc Russell Benioff - Chairman & Chief Executive Officer: Well, number one, on Analytics Cloud, the answer to your question is, all of the above. I mean, when we're in there, I presented that product today to two executives, one of the world's very largest insurance companies here in Chicago, and they've never seen anything like that. And I don't think anything like it exists. They probably already own every product, you know? And I don't think that's a reason why they wouldn't buy ours, because they don't use that product. Those other products are really isolated and used by analysts, and they're not analytics for everyone. They're certainly not analytics for the rest of us. They don't run well on iPhones and Android devices. They don't run on the Apple Watch. They don't run – you can't spin it up instantly in our cloud environment. So this is just an extraordinary offering, and it is only – again, I've obviously seen the next two versions, and it is just going to get better and better and better. And we're going to just bring in a very deep ecosystem of developers and apps, and we're going to exercise our magic in regards to building a really broad use of it, and by Dreamforce, you'll see something just awesome. So I hope that answers – I hope that answers that question.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: And then there was the second one, Marc, on the Marketing Cloud momentum.
Marc Russell Benioff - Chairman & Chief Executive Officer: Oh, yeah, Marketing – well, I mean, I can't say enough good things about the Marketing Cloud. I'm sure you see that we took this great company in Indianapolis, Indiana, ExactTarget. We've worked with their core management team and transformed that to just turning it into just an exceptional offering, with Journey Builder and our customers to build journeys for their customers, they can build journeys for their employees. They can build journeys for their partners, journeys for their products. I mean, we just used it ourself to build something called Adoption Manager for Salesforce1, and when you are using Salesforce1, you now have the ability to turn on something called Adoption Manager, you're basically turning on Journey Builder in the Marketing Cloud and I know that we saw almost 50% increase in adoption rates using that technology. And I encourage every one of our customers to move to that model as part of that. I also am extremely excited by the phenomenal success of our Pardot team in Atlanta which is part of our Marketing Cloud. They have done a great job as well, which is the B2B marketing solution. So we not only have a tremendous B2C solution that has applicability throughout the enterprise, but we have an unbelievable B2B marketing solution and both of those are just executing incredibly well. For those of you who know we have taken a long time to build our Marketing Cloud strategy through – primarily through acquisition, and we have now had a couple of years to be able to operate it, and we couldn't be more excited about the future. Some of our largest transactions in the quarter were done with the Marketing Cloud and I don't know a customer who's not looking at it. You know, it's just – it's what you need to be able to connect with your customers on a day-by-day basis, and minute-by-minute basis. And I'll tell you, I'll give you a little insight into where we're going for Dreamforce, which is, and as it relates to the Marketing Cloud, you know everyone probably who's listening to this call might be wearing some kind of a wearable. All those wearables are probably evolving very rapidly; probably all of us will be wearing some kind of different wearables in the next two years. Everybody knows that we're moving to this incredible Internet of Things that's part of it. We call it an Internet of Customers. Everything is going online. Everything's got an API. We're generating more data than ever before. 90% of the world's data was generated in the last two years. A lot of it is coming out of this machine data. Well, as all these things are happening, of course, you want to be able to connect everything and then have these directed journeys and messaging and be able to put everything online and have everything deeply integrated into your CRM systems. I don't think there's any other company in the world that's going to be able to show what we're going to show at Dreamforce, which is this idea that everything is connected, everything's online, and that you're basically able to stay in touch with your customer minute-by-minute as it's happening. And that's just all possible because of this Marketing Cloud. So I couldn't be more excited. I mean between the Marketing Cloud, between the Analytics Cloud, between some exciting enhancements that are going to be coming for our core Salesforce Service Cloud offerings and next-generation solutions there, we've got a lot of very, very exciting things planned for September.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Yeah, and if I might just add, Marc. Sarah, just in closing, too, when I see 29% in USD and you throw on four points or so of constant currency adder, that's a really attractive growth rate. And the last point I would just say is if you see the Gartner data that just came out, of the top five people in the Marketing Cloud arena, every one of the top four lost share. We gained share. You've seen these persistent trends like SAP losing share again. People are voting with their dollars for the Marketing Cloud.
Operator: And your last question comes from Raimo Lenschow with Barclays.
Raimo Lenschow - Barclays Capital, Inc.: Hey, it's great that Barclays is a customer. And it's great that I get the last question here. Thank you. Mark, a quick question, now that we know the breakout of the different clouds, we see that the Sales Cloud, if I adjust for currency, is still growing strong in double-digit. Can you talk a little bit about the opportunity there? Remember, that's kind of where a lot of people said, "oh, it's getting mature, your market share is really high," but you keep growing, putting up these really healthy numbers despite the size. What are you seeing in that market? Thank you.
Mark J. Hawkins - Chief Financial Officer & Executive Vice President: Okay, so let me just touch a little bit, and I think maybe I could turn this over to Keith. Certainly I think you hit it right. We were certainly pleased to see the growth rate that was posted in U.S. dollars. Again if you add on the constant currency, you've got a business that's at scale. It's a $2.5 billion business growing really attractively, and again, just the gold standard in the world with lots and lots of opportunity. I'd just like to turn it over to Keith, I know, on other commentary on this as well.
Keith G. Block - Vice Chairman & President: Yeah, thanks, Mark. Listen, I think we've all seen the commentary and the pundits in the marketplace. I think the numbers speak for themselves. This is a terrific product. It is a flagship product, and we continue to take net new logos all over the world in all shapes, size, forms of companies in all industries. And arguably you can say it's the most loved sales app in the world. So we see an awful lot of interest in our Sales Cloud as a standalone product, but also as part of the Customer Success Platform. And it goes back to customers really want to be more engaged, have deeper relationships with our customers and drive success. And that's what this Customer Success Platform is all about .So this is a $2.5 billion run rate business. As a cloud, it's one of the top eight standalone largest cloud companies. We keep getting accolades from Gartner. So this is really a very successful product, a very successful solution as a standalone and it's part of a greater solution. And that's what customers want. They want impact, they want transformational value, they want innovation, and they want success for their customers. And that's why we're so well positioned and we still have so much momentum.
Marc Russell Benioff - Chairman & Chief Executive Officer: And I'll just add to that, I guess we kind of gave it away, but tomorrow at the London Show, you're going to see Barclays profiled. And we've got an incredible demo as part of the keynote and video, you're going to see some amazing things. You're also going to see some amazing things about some other amazing European customers who we've had substantial breakthroughs with including Vodafone and Coca-Cola. I mean, if you look at this customer list in Europe, which includes ABB and BMW and BT and AXA and Philips and Unilever and so many others and then you look at all the incredible work that we're doing with these non-profits and NGOs in Europe, I mean, we've got just an impeccable brand. We've done a great job with Europe's largest and most important customers. Of course, we also have a very strong small- and medium-sized business there, as well. You're going to see it firsthand. I mean, you're going to see 52 Salesforce demo stations there showing all kinds of amazing things and spots. I mean, you've got a huge ecosystem. No one else has this. They've kind of forgotten how to be successful in the software business. And they're the only innovation SAP has is in rhetoric. They should try writing some software.
John Cummings - Director-Investor Relations: All right, Katie, I think we can wrap up. So thanks everyone for joining us on the call today. We'll look forward to updating you on our fiscal Q2 results in August. In the meantime, if you have any questions for us, you can e-mail us at investor@salesforce.com. Thanks so much.